Operator: Ladies and gentlemen, thank you for standing by and welcome to the Tenaris Fourth Quarter and Annual Results Conference Call. [Operator Instructions] Please be advised that today’s conference call is being recorded. I would now like to hand the conference over to your speaker today, Giovanni Sardagna, Investor Relations Officer, Tenaris. Please go ahead.
Giovanni Sardagna: Thank you, Victor, and welcome to Tenaris 2019 fourth quarter and annual results conference call. Before we start, I would like to remind you that during this call we will be discussing forward-looking information and that our actual results may vary from those expressed or implied during the call. With me on the call today are Paolo Rocca, Chairman and CEO; Alicia Mondolo, our Chief Financial Officer; Guillermo Vogel, Vice Chairman and member of our Board of Directors; Germán Curá, Vice Chairman and member of our Board of Directors, Gabriel Podskubka, President of our Eastern Hemisphere Operations; and Luca Zanotti, President of our U.S. Operations. I would like to start by mentioning that we will host an investor presentation in London on April the 3rd and we hope to see many of you there. Before passing over the call to Paolo for his opening remarks, I would like to briefly comment our quarterly results. During the fourth quarter of 2019 sales reach $1.7 billion down 17% compared with those of the corresponding quarter of the previous year, and 1% sequentially. Mainly as a result of the slowdown in activity in Argentina and lower prices in the Americas. Our quarterly EBITDA at $290 million was down 10% sequentially and our EBITDA margins decreased to around 17% mainly due to a drop in average selling prices and higher professional fees mainly related to the closing of the IPSCO acquisition for around $10 million. Average selling prices in our tubes operating segments declined 3% compared to the corresponding quarter of 2018 and 3% sequentially. During the quarter, cash flow from operation was $264 million, our net cash position rose by $60 million to $990 million following the payment of an interim dividend of $153 million in November last year and capital expenditure of $80 million. The Board of Director has decided to propose for the approval of the annual journal shareholders meetings to be held at the end of April, the payment of an annual dividend of $0.41 per share or $0.82 per ADR, which includes the interim dividend of $0.13 per share or $0.26 per ADR that we paid at the end of November of last year. If approved a dividend of $0.28 per share or $0.56 per ADR will be paid on May 20. Now I will ask Paolo to say a few words before we open the call to questions.
Paolo Rocca: Thank you very much, Giovanni. Good morning to all of you. 2019 was a more difficult year Tenaris than we expected. The adjustment in drilling activity in the US fields and response lower cash flow and the less accommodating financing environment was prolonged and only now as we begin 2020, we are starting to see activities realizing at the level 25% lower than it was a year ago. But I think in the Americas, we're also affected by the drop in US activity, coupled with a partial resurgence of US domestic welded pipe production following the steep fall in cultural steel prices in the first part of the year. Meanwhile, in Argentina, political and economic uncertainty in the second half of the year has resulted in a sharp fall in investment activity in Boca Marta. In Saudi Arabia, Aramco started LNT destocking process, which may last through the end of this year. Against these background Tenaris has achieved important milestone and strengthen its position in key markets. On safety, we have made good progress over the past two years. Our lost time injury frequency rate is all but to an annual average of 1.2 lost time accident per million an hour work including contract. And in the fourth quarter of 2019, we were able to reduce it to below one. This reflected consistent management focus over years, and the cultural change that we've been able to extend to our 45 facility around the world. Financially, we have work hard to maintain the strength of our balance sheet. On sales of $7.3 billion, our free cash flow margin was 16% for the year, as we reduce working capital by over $500 million. At year end, our net cash position had risen by $495 million to $980 million after maintaining our annual dividend payments in $484 million over the year and acquiring 48% of Saudi Steel Pipe for $132 million in January. Even with the acquisition of IPSCO after the close of the year, we have net debt free balance sheet. We were finally able to complete the acquisition of IPSCO on January 2, after receiving clearance from the US authorities in late December. This process lasted nine months, much longer than we had anticipated. During this time, the market deteriorated in our rig direct competitors, the distributor, were able to switch their pipe purchases away from IPSCO current producers. Consequently, we are now integrating a company operating at a loss with high inventory and with many production facilities shut down. These will act as a drag on our first quarter results. But we are acting rapidly to reduce costs to recover market share and implement the synergies we identify with the transaction. Despite the changing market condition and the lower activity level and demand, all the assumptions that originally justify the acquisition remain valid, and it will strengthen our commercial, industrial and technological leadership in the US market. With the copper electric arc furnaces [Indiscernible] 0:07:17.5, we now have our first steel making facility in the US, which will be able to supply with limited investment. A significant portion of our steel requirement for the Enbridge and Bay City Mill. And the geographical distribution of the acquired asset will add pass to strengthen our rig direct service and reduce lead time, particularly in the northern part of the US. The contribution of the enhanced team and expansion of our technology portfolio will further strengthen our positioning in the US market. Also, in the US, our Bay City Mill has reached targeted levels of production and efficiency and is fully prepared to further enhance our competitive position. During the year, we strengthen our position in Saudi Arabia through the integration of Saudi Steel Pipe, even if in the current market condition, this is not yet fully reflected in our cash flow. In Abu Dhabi, we successfully won a long- term contract value at $1.9 billion to supply the majority of ADNOC’s OCTG requirement over the next five years. This will start to be reflected in our cash flow from mid-2020. We have a strong focus on reducing the environmental impact of our operation, whether locally in our communities or more globally, through addressing the challenge of climate change. During 2019, we completed important investments to improve air quality and reduce our environmental footprint at our mills in Argentina and Mexico. In other parts of our industrial system, we also have industry leading emission level. On Bay City Mill for example is the only operation of its type qualified in USA is a minor source of emission. With respect to Co2 emission, we have relatively low levels of emission compared to our competitor and other steelmakers since we only use electric furnaces and gas based direct reduction or firearm for steelmaking. We have also integrated the gas fired combined cycle [Indiscernible] 0:09:50.7 power generation for a large proportion of our production. Over the past five years, we have reduced the Co2 emission intensity of our operation by 18% to 1.18 tons of CO2 per ton of steel. This is a 35% below the global average for steelmaking reported by the world steel. This data as referring to the four major facilities that also have steelmaking. As I mentioned before, we have overall worldwide 45 facility operating, but the steelmaking operation are focus on four and now on five conceding also the acquired asset income. Sustainability has longer been embedded in our managing, management practices and we look forward to leading our industry response to the global climate challenge. During 2020, we do not expect a substantial change in the market environment, but it's still difficult to assess the impact of the Coronavirus on the global economy and oil prices. However, the repositioning the U.S. when the integration of IPSCO. The action we are taking worldwide to reduce costs to increase efficiency in our industrial system, and to reduce lead time in our supply chain for deliver to recover our margins to around 20%. I will stop here and leave the floor open for any question we have.
Operator: [Operator Instructions] And our first question will come from a line of Igor Levi from BTIG. You may begin.
Igor Levi: Good morning. So, based on the North American numbers you reported being slightly up assuming Mexico is up and Canada slightly seasonably up. It implies that the U.S. was only down marginally, when the rig count was down more than 10% in the quarter. Could you talk about the reason for this outperformance of the rig count and just a bit more on the market in the U.S. and whether we've seen the trough in U.S. OCTG demand?
Paolo Rocca: Well, thank you, Igor. I think despite over reduction in the size of America, we've been able to maintain our position but I will ask to Luca Zanotti to comment on the situation in the American market.
Luca Zanotti: Thank you, Paolo. Good morning. Igor. As you certainly notice, international competitors that additionally targeted that the U.S. market eventually encountered difficulties to export this market. And so, as a consequence, imports dropped significantly to 35% of the demand in the fourth quarter of 2019. And leveraging our redirect model and our large manufacturing footprint in the United States. We were able to tap into this space, and therefore we're able to maintain flat our sales. Now looking ahead, what we see is that given current circumstances, we don't see this situation to change. As a matter of fact, if we can consider the import license of January 2020, they were pretty low. So, we expect to be able to maintain our levels.
Operator: Thank you. And our next question comes from the line of Ian MacPherson from Simmons. You may begin.
Ian MacPherson: Thank you. Good morning. Good afternoon. I was wondering if you could perhaps talk about the level of results that you saw from the IPSCO assets in the fourth quarter. And maybe quantify for us how much of a drag it represents in Q1, because I know that you have an objective to capture integration benefits in synergies as we march through the year, but maybe if you're talking about margins being flat from Q4 and Q1, how much of that is the impact of the IPSCO drag in Q1?
Paolo Rocca: Whether you are right that due to the lengthy process to clear the transaction, through the anti-threat and the DOJ. The company has been subjected to important [Indiscernible] 0:15:09.5stress during 2019. So, the EBITDA of the company and loan went down, it became negative in the Q and even more negative in the 4Q of 2019. Now in the 1Q this will have a drag on our results because we cannot turn around the situation within the very, very short period of time. But we are acting very fast on all front, we're expected to be able to reduce fast the drag and gradually to get to the synergies that were embedded in our business plan since the very beginning. As I mentioned before, in my prepared statement, all the consideration and that led us to the acquisition are still very valid. And in the first month, in which we get contact with the people, the operation, the technology, we're confirming, let’s say the rationale and objectives of acquisition, but we will have a drag and this drag is also embedded in a high level of inventory in the company because the company in the end reacted slowly to the change of policy by the distribution system. So we have a level of inventory that are priced at a level that is reflecting the cost and are different from the cost that we have. So there will be a gradual reduction of this inventory and this will be part of the drag that I mentioned for the 1Q. I will ask Luca to comment on the path, the roadmap and the synergy that we plan to get in the coming quarters.
Luca Zanotti: Yes, Paolo, thank you. Good morning, Ian. Specifically to seen as is what we have seen when we started looking into the company carefully, we see that, compared to what we previously announced that we see a higher level of synergies, we estimate annual run rate in the range of $80 million to $100 million. Now those synergies will come from four main buckets. The first one is the optimization of the location, we want to be certainly favoring the most efficient and lower costs mills. And at the same time, we want to reduce logistic costs allocating in proximity of the consumption is forecasted. The second is going to be capacity reduction. And I believe that what we done following the previous management is already public, but we right size production capacity. The third one is coming from the fixed cost reduction arriving from our integration. And fourth is driving from the operation and purchasing/ make or buy decision. So as I said before, these four main buckets are supposed to bring between US $80 million and US $100 million. We expect those synergies to kick in gradually and fully [Indiscernible] 0:19:24.6and to accrue the full benefit towards the end of 2020 in the last quarter of 2020.
Ian MacPherson: Thanks, Luca and Paolo. My follow up question. I wondered if you could maybe provide some range of the expectations for first quarter revenues given the stabilization of your base business and then the full almost a full quarter capture of top line even though at a dilutive margin from IPSCO. That would help provide helping, helpful starting point for us.
Paolo Rocca: The first quarter, as you remember in three months ago, we were considering that we should have had a positive impact from reduction in our cost coming from the lower price of [Indiscernible] 0:20:22.0 getting through our inventory from lower level of maintenance because last year we hit some, over run a maintenance and some change we make. Now what we see today will be affected by the drag of IPSCO acquisition. Some of the cost related to the closing of the transaction. We have lawyers and consultants that are supporting as there will be some costs related to the final closing that happens in January. But there are specific issue that we need to complete during this month concerning inventory assessment and so on. And the Pipe Logix reduction, we didn't anticipate in October, but the Pipe Logix went down between October and January by another additional 5%. So, this has an impact. These are affecting the improvement that we're considering for the 1Q. So, we now assume that in the 1Q, EBITDA ratio should be and the margin should be in the range of the 4Q. So, the 1Q will be more or less aligned in our view in terms of margin with 4Q. Now, from that point on, we expect things to start to improve and we expect in the second part of the year to be able to get to the level of margins that we had in the first half of 2019 which is around the 20% margin by the time.
Ian MacPherson: Thanks, Paolo, I understand the margin guidance, I don't understand what we're talking about in terms of top line as a starting point for the year.
Paolo Rocca: In the top line, I think that considering the reduction in Pipe Logix that occur up to now, we will also be able to recover gradually, but if you look at, let's say, the entire company we expected that in the second half of 2020. We will be - top line in the range again of the first half of 2019.
Operator: Thank you. And our next question comes from line out Sean Meakim from JPMorgan. You may begin.
Sean Meakim: Hi, thank you. So, maybe just to continue on to that line of thinking. We think about the decline in Pipe Logix pricing in the fourth quarter. What's the average pricing that we should be thinking about in the first quarter relative to 4Q? I mean how much do we need to? If we're stabilizing here, how much do we need to catch up first quarter relative to 4Q and then just can we distinguish between seamless and welded?
Paolo Rocca: I think considering the shift and the mix worldwide between let's say different region or if we are referring to the company as a whole in order to, it is more difficult to give a clear answer on the level of pricing for this. The 5% reduction that we have seen between the 4Q, and the 1Q is in the Pipe Logix but it didn't reflect entirely in our pricing. So, from that point on, we also will be recovering. The difference in contract, long -term contract, short- term sales makes a little more difficult to forecast how the recovering prize may happens during 2020.
Sean Meakim: Okay, thank you for that. And then maybe talk a bit more about IPSCO. So, you started the year maybe not as good as you were thought a few months ago, understandable given all the moving parts. It seems like the distributors maybe are getting through a lot of the destocking process in North America, could you give us a sense of your expectations for IPSCOs contribution to cash flow in 2020.
Paolo Rocca: As I mentioned before, this would be growing over time but Luca maybe you can add some comment on the cash flow coming from IPSCO during 2020 after say the first quarter -
Luca Zanotti: Yes, Paolo. Good morning, Sean. As I was anticipating before we see IPSCO with a negative profitability. And then thanks to the two things that Paolo already mentioned in his opening. So, a recovery in volumes and the full implementation of the synergies action, we are going to see profitability to improve and get positive in the second half of 2020.
Sean Meakim: And so, we think about CapEx associated with the business on a full year basis. Do we think that its cash flow positive or is in 2020 as we're working through the processes that may be a net use of cash for the year?
Paolo Rocca: Well, at this point in time, we are looking at - let's say the investment level for the entire company considering the possibility that it will be really operational in this. We consider that the company should as a whole Tenaris to have capital investment in the range of $350 million to $360 million including the investment that I mentioned to expand the range of the couple continues capital so, to be able to supply the entire, the entire American system Bay City on an average. We will have to invest on this and so as a whole these will be in the range of $360 million investment in capital. Now, the EBITDA, we expect EBITDA of the single BDD the IPSCO asset to become positive in the second half of 2020.
Operator: Thank you. And our next question is from the line of Marc Bianchi from Cowen. You may begin.
Marc Bianchi: Thank you, I guess first, just back on the Pipe Logix question, maybe not so much related to how it affects your revenue here in the first and second quarter, but just on a leading-edge basis, given the commentary about, low imports and maybe we're inventory set. How do you see the Pipe Logix pricing index progressing from here?
Paolo Rocca: We expect the recovery, we expect the recovery after let's say, deployment that has been reaching the demand. Frankly, I think we should be bottoming out from here, but I would ask, Luca, if he can share his feeling and by logic is bottoming out.
Luca Zanotti: Yes. Thank you. Good morning, Marc. I believe this year we need to consider different PCs. And the first one that you should tell me I've also seen is that recently and there is a number of [Indiscernible] 0:29:40.5 an array on a look at the results that are coming in from the users, you have seen increase in negative EBITDA generational from some competitors, industrial restructuring. From other competitors, recapitalization format as well and this is the first part. The second, you're seeing that towards the end of 2019 competitors to announce price increases. And overall, these are all signs that the industry is in a situation that really needs prices to up. I share your point and I believe that we are scraping the bottom of the barrel and I see prices going up in the future.
Paolo Rocca: Yes. I think that really, we should be touching bottom and these level of Pipe Logix and prices is basically unsustainable in the medium term for the competitors, domestic and global competitor for the US, for the US market.
Marc Bianchi: Okay, thanks for that. I wanted to go back to IPSCO and the losses a few questions really.-.
Paolo Rocca: Let me add on - sorry, let me add one comment here to make it just to give you [Indiscernible] 0:31:09.7. Here we are considering that there is no more relevant impact from Coronavirus, no. I mean if because this is discussion, we have without considering additional disruption coming from the Coronavirus on the level of economic activity worldwide in China, and maybe consequently on the price of all in China. So is a scenario the one that we are mentioning to you, there is a consistent with a level of rigs in the level of it and [Indiscernible] 0:31:54.5I mean, and no major disruption in the main variable of this, if something happens on this ground, obviously things would be could be different. Sorry to interrupt you.
Marc Bianchi: No, thank you, that's helpful. Makes sense. In terms of the IPSCO. The impact on results here, so it's negative right now or sounds like it's going to be negative in the first half. Can you help quantify just on an EBITDA basis? What we're talking about here? Is it like a $10 million kind of drag per quarter? Or is it much more substantial than that? And then are we talking about breakeven?
Paolo Rocca: Yes, as I mentioned before, what do we expect today, considering these impact and considering the other elements of that I mentioned, still our margin in the first quarter should be in line with the margin of the 4Q.
Marc Bianchi: Okay, and is there - you mentioned some professional fees and such. I would suspect that there might also be some restructuring if you're, changing some of the fixed costs there. Is there a number that you care to quantify as to how much of a onetime headwind some of those things could be in the first half?
Paolo Rocca: This was a component that was including in the consideration of costs related to the integration of IPSCO. Let's say, I don't know, in this moment, I wouldn't give a figure, but I don't know if, Luca, you could have an estimate that there will be a -.
Luca Zanotti: There will be some additional cost. We ask [Indiscernible] 0:33:58.9people together the numbers and but certainly we need to consider that on top of what you just mentioned before some several answer that we want any that to materialize the synergies on the fixed course.
Operator: Thank you. And our next question comes from the line of Stephen Gengaro from Stifel. You may begin.
Stephen Gengaro: Thank you. Good morning. Just I think two things. One, just to follow up on Marc's question, those costs associated with the integration, are they part of your flat EBITDA margin guidance for 1Q or are they not included in that number?
Paolo Rocca: Adding to that, I mean, when I say for this is a forecast but for the 1Q, we expect to be able to reach margin in line with the fourth quarter, including this let's say extraordinary expenditure for the integration of IPSCO and is a first to [Indiscernible] 0:35:18.4as a restructuring. And we will incur between now and in the end of March.
Unidentified Analyst: Okay
Stephen Gengaro: Okay. And then I guess two other things actually. The first is we looked at IPSCOs numbers for 2018. And we sort of thought about some detrimental margins to get the negative EBITDA. It seems like the revenue run rate on a quarterly basis is kind of like in the 175 to 200 range right now. Is that a reasonable guess for the first quarter?
Paolo Rocca: Can you say it again, because I didn't understand that?
Stephen Gengaro: Sure. So, I think - It seems like IPSCO is about $1.3 billion in revenue in 2018. And just looking at where the markets stand and looking at the fact that they've moved to an EBITDA negative position in the third and fourth quarters of 2019. It seems like their quarterly revenue is running a little bit under $200 million. Is that a reasonable starting point?
Paolo Rocca: I think I would say even lower than what you mentioned. I mean the compression in revenue that happens during the nine months in which we completed discussion with the anti-trust has been substantial. So, the company enter into a strong squeeze for on the top line well below, let's say in the 4Q the $200 million that you mentioned, and on a negative EBITDA that also is relevant at this time. Now the only change in the first quarter but in the fourth quarter has been below what you mentioned as a top line for IPSCO.
Stephen Gengaro: Okay, thank you. And then just one final one when you think about your rig direct models and you think about moving IPSCO volumes through rig direct, based on conversations with customers that you've had since the deal closed. Are you -what's your sort of optimism around how rapidly you can kind of get the IPSCO volumes to ramped back up through the rig direct distribution system?
Paolo Rocca: Well, at this time will be Tenaris act as a whole expanding its portfolio with the existing client and establishing let's say in constructing some of the client, existing client also fixed. We will gain ground. I think during 2020 pretty fast. But I will ask Luca how the clients are reacting. And if you see room for this catch up and the rebuilding of the customer base and enhancing the expansion of this.
Luca Zanotti: Yes, Paolo. First of all, we need to mention that we have commitment that was taken by IPSCO. And of course, we're going to respect those commitments. So, I mean, the speed at which we're going to be switching to either it also depends on the previous commitment that they can make. Going into the specific question, Well, we don't see these any more difficult than what we did in the beginning. Actually, we see these much easier because let's remember that we started from scratch in 2015 and in 2017, we were having he range of 60% [Indiscernible] 0:39:25.1. Today, the understanding of the US customer base is much higher than to what we were at the beginning. So, we don't have to go and explain everything from scratch. So, I see this happening through 2020 and according also to the commitments that were taken by IPSCO in the past, but I believe that we can complete these through these this year.
Operator: Thank you. And our next question comes from the line of [indiscernible] from Goldman Sachs, you may begin.
Unidentified Analyst: Thank you for taking my questions. If I can start with another one on IPSCO, please. How should we think about the normalized through the cycle margins for IPSCO and how would that be different under your management versus previous management?
Paolo Rocca: Well, I'm not sure I mean I didn't - in this integration that we are carried on in the sense, really, we will manage the entire system in a unified way since day one. So it's correct to say the level of invoicing of IPSCO went down through 2019; it touch around $200 million in the third 3Q and then went down again substantially in the 4Q, but at this point in time, we are looking at this is as Tenaris' challenge would be difficult to understand or to separate IPSCO from Tenaris. We are looking at our combine market share and I would say that it will not be something like a normalized level of IPSCO operation. We will also allocate material in the most efficient mill for rolling, forecasting for finishing or key treatment in a system that will be based on many different mills in the US. What we think, we should do and we are very confident we could do is that we will be able to establish the leadership as Tenaris sales, in volume in service and in technology and our market share. We get to the level that we design and we have in mind when we launch the acquisition of IPSCO more than one year ago.
Unidentified Analyst: Thank you. And then a second question can be away from the US. Can we get some more color on pricing in the international market please?
Paolo Rocca: Thank you, Saha. I would ask, Gabriella, to give a view how we perceive the attention to this at least up to now and further condition.
Gabriel Podskubka: Yes. Thank you, Paolo. Good morning, Saha. The pricing in the significant international market remain competitive is really as decoupled from the Pipe Logix dynamic that we were mentioning before. So, there is not a direct link. There is a very limited impact of the Pipe Logix into the indoor formulas of some work on the international market, but this is very limited. We have a positive momentum in our average pricing even our backlog of kind of rich mix due to the gas developments immediately some offshore as well. So, year-over-year that pricing moves in a positive dynamic within a competitive environment. And we also see some tightness in some specific niches of our service, corrosion resistant alloys where we are able to push some price increases, but this has a limited impact in the overall portfolio vis-à-vis of the dynamic at the general level.
Operator: Thank you. And our next question will come from line of Alessandro Pozzi from Mediobanca. You may begin.
Alessandro Pozzi: Good morning, all. The first question is on cash flow for 2020. Just wondering in particular, how do you expect your conference call to evolve? Clearly, we've seen a positive contribution in 2019. I was wondering how much positive contribution to expect if any from working capital in 2020?
Paolo Rocca: Thank you, Alessandro. We also -we continue to intervene on the entire supply chain on the lead time and we think that the integration with IPSCO will also support after the initial period in which we have to reduce the inventory that we are receiving with IPSCO. We will continue to reduce inventory and we expect to have positive contribution in the range of some $200 million or in this range during 2020. So, this we contribute to our cash flow. We are confident that we will get a very strong cash flow in 2020. The recovery in the managing in the second part of the year combined with a relatively contained level of investment and the reduction in working capital. So that allow us to be able to give a robust cash flow in 2020.
Alessandro Pozzi: And do you already have in mind what net cash you could end up with the year-end?
Paolo Rocca: It's like I said what we can always considering let's say this situation is today without, let's say irrelevant slow down or the economy or reduction in level of, we can see there that as we mentioned before we can have a level of cash flow similar to the level that we had in 2019.
Alessandro Pozzi: Okay, and just one thing on the CapEx, I think you mentioned the 50 to 60. And that doesn't include the IPSCO on the CapEx as well?
Paolo Rocca: Yes, we are including the investment that we are planning to undertake in the especially in the couple in short to advance in the capability to supply the entire needs of the US operation from-.
Alessandro Pozzi: Okay, finally just the last one on the -you mentioned global OTG demand is like to fall in 2020, I was wondering if you can maybe give us a bit more color on where you see - which regions you see more strength there?
Paolo Rocca: Well, I will say that in 2020 we're considering that will be, there will be as low recovery in Argentina. We do not expect so much from the demand in Argentina in the first part of the year until some of the key issues of the economic plan will be defined and negotiation also for the debt will be completed. But then we will see Argentina could be capital -could be let's say increasing expanding the market in the second half. And the second area, so our view is important is the Gulf of Mexico from the both the American and the Mexican, the Mexican side. The international company are working actively in Mexico, but in the Gulf of Mexico we are seeing project going on. We have the contract ADNOC that I mentioned in my prepared remark, we have the very large contract, the majority of the need of the ADNOC. We estimate around $1.9 billion in a period of five year. This will kick in during the second part of the year in our review and it depends also from how fast ADNOC will work on this. Another area that could be positive for 2020 second part is Brazil. We have an important market share in Brazil. If and it seems Petrobras and private company and international company are maintaining the programs of drilling. This would be also a positive area in one is a niche, but these deals important is that the connector that we sell worldwide in for the offshore project are also an area in which we will expand I would say. So, these are the area in which we may have say positive development during the course of 2020. They may compensate for a relatively weak demand due to destocking in Saudi and the Argentina situation as far as we can see today
Operator: Thank you. Our next question comes from the line of [Indiscernible] from Jeffries. You may begin.
Unidentified Analyst: Hi, there. Thanks. I've just got two. The first one is regarding those extraordinary expenses you mentioned still related to IPSCO for Q1. Can you give us a rough ballpark or estimate of what those will total during the quarter?
Paolo Rocca: Extraordinary expansion IPSCO, Luca?
Luca Zanotti: Yes, Paolo. I mean as I said before, we are still finalizing the number, but we expect this to be in the range of $15 million to $20 million.
Unidentified Analyst: Okay. Apologies if I missed [Indiscernible] 0:51:30.9 number there. So the second one, when you talk about the second half 2020 improvement at IPSCO and it turned into a positive contribution, is that driven by any forecast around improve pricing, or is that predominantly due to your expectations around synergies and maybe some better volumes.
Paolo Rocca: As I mentioned before, I think the present level of pricing and it's difficult to sustain. So we're assuming that there will be - there could be some limited rebound, but at least in this. But mainly what we are counting on the synergies that Luca was mentioning before due to location to restructuring of the production system efficiency and some cost reduction that we can get in working integrating the two company.
Operator: Thank you. And our next question comes from the line of Lillian Starke from Morgan Stanley, you may begin.
Lillian Starke: Hi. Just one quick question from my end. You mentioned the accumulated inventory at IPSCO, I was just wondering if at any point you think we could expect an impairment on the back of these or are these two do you expect to be put in the market just at a lower margin?
Paolo Rocca: Well, according to a contract, we're reviewing the inventory. We have been assured quality condition of the inventory and then we have to close the contract. And the agreement with TMK based on this. Once we completed the set, I expect no impairment, we expect to be able to send to the market. But as I mentioned before, the cost of sales for this product and these inventory is higher than the average cost of sales for the material we provide on the rest of the facility. So this is part of the drag that we will have in the first quarter. Let me tell you that gradually the new production and the new material in our view will be competitive. And, of course after the intervention and the restructuring we will have Now, we didn't complete the first stage, which is the overall assessment of inventory we have, according to the contract 75 days to complete this. In general, this is the sense we have, there are no major issue coming from this.
Operator: Thank you. Our next question comes from the line of [Indiscernible] Amelia from Santander. You may begin.
Unidentified Analyst: Hi, guys. Thanks for the call. So I have a couple questions from my side. The first one is related to the IPSCO acquisition and the margins that you mentioned the 20% level for the second half of 2020. It's just a quick question, if you do include the synergies that you mentioned the $80 million to $100 million in synergies for this 20% margin for the second half of 2020. And my second question is related to the JV you made in Russia in Siberia if you - how is that going if you're spending any cash on that, and if you could, if you are -if you could give us a breakdown of how much is going towards that, that’d be interesting to know also. Thank you.
Paolo Rocca: Thank you. On the first point, what I mentioned the recovery of the margin to get back to the range of 20%. I'm considering this is the margin for whole of the Tenaris. These considering all of the element of the company to it. Including the synergy that we plan to have in gradually into this. As we mentioned $80 million to $100 million fee but we can expect to enter starting gradually I mean, say gradually but we need to plan to reach it by the fourth quarter for sure. The second one on Russian venture, we are proceeding for an investment. We will be investing during 2020. Maybe Gabrielle, you can comment on how things are going on in the Russia.
Gabriel Podskubka: Yes, Paolo, thank you very much. Good morning, Rodrigo. Indeed, JV in Russia is progressing very well. They have a greater understanding and dialogue and cooperation with our partner service club. We advancing full speed in the engineering and the construction targeting us plan commissioning of the facility by the second half of 2021. So we're looking forward to complete the facility another line of business. In terms of CapEx, our provision is around $70 million for 2020 and probably a similar number or a bit lower into 2021.
Paolo Rocca: This figure is not included. I mean is in the $350 million -
Unidentified Company Representative: No, it's not included in the $360 million because this is our participation in the joint venture. So we're expecting to our investment in 2020 will be $70 million. And in 2019 we invested about $20 million.
Paolo Rocca: This is our participation joint venture, so it's not considered a part of the $360 million that we are mentioned as CapEx.
Unidentified Company Representative: And it is our…
Paolo Rocca: But are included in the overall vision of the cash flow that I gave before.
Operator: Thank you. And I am not showing any further questions at this time. I like to turn the call back over to Giovanni for any closing remarks.
Giovanni Sardagna: Okay. Thanks a lot for joining us in the call. And we hope to see you in London, April the 3rd. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.